Operator: Ladies and gentlemen, thank you for your patience in holding, we now have your speakers in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of today's presentation, we will open the floor for questions. At that time, instructions will be given as to the procedure to follow if you would like to ask a question. It is now my pleasure to turn today's conference over to Paul Alexander. Sir, you may begin.
Paul Alexander: Thank you and good morning everyone. Welcome to Kimberly-Clark's Third Quarter Earnings Conference Call. Here with me today are Tom Falk, Chairman and CEO; Maria Henry, CFO; and Mike Azbell, VP and Controller. Here's the agenda for our call. Maria will begin with the review of third quarter results. Tom will then provide his perspectives on our results and the outlook for the full year, and we'll finish with Q&A. As usual, we have a presentation of today's materials in the Investors section of our Web site. As a reminder, we will be making forward-looking statements today. Please see the Risk Factors section of our latest annual report on Form 10-K for further discussion of forward-looking statements. We will also be referring to adjusted results and outlook. Both exclude certain items described in this morning's news release. The release has further information on these adjustments, and reconciliations to comparable GAAP financial measures. And now, I will turn it over to Maria.
Maria Henry: Great. Thanks, Paul. Good morning everyone. Thanks for joining the call today. Let me start with the headlines for our third quarter results. We achieved organic sales growth of 5%. That's at the high end of our full year target. We also delivered excellent cost savings, gross margin improvement, and record adjusted earnings per share from continuing operations. And finally, we continue to improve our capital efficiency, and return cash to shareholders. Now, let's cover the details of our results, starting with sales. Third quarter net sales were $4.7 billion. That's down 7%, driven by a 12 point drag from currency rates. Organic sales rose more than 5%, including 10% increase in developing and emerging markets. On profitability, adjusted gross margin was 36.1% in the third quarter, up 120 basis points year-on-year. Adjusted operating margin was 17.5%. That's up 10 basis points, despite unusually low G&A spending last year, and a 70 basis point drag in other expense. Our teams continue to deliver significant cost savings in order to improve profitability and fund the investments that we're making behind our brands. Third quarter FORCE cost savings were $85 million. In addition, our organizational restructuring is on track and generated $20 million of savings in the quarter. Commodities were a $45 million benefit in the quarter, mostly in oil-based materials. Full year deflation should be about in the middle of our previously estimated range of $100 million to $200 million. Now, on the other hand, we continue to experience significant currency headwinds. The total earnings drag from currency was approximately $0.45 per share in the third quarter. For the full year, it's likely that the currency headwinds on our bottom line will approach 25%. That's a more significant impact than we expected coming into the year, and when we spoke to you on our last earnings call in July. On items below operating profit, we had modest benefits from lower share counts and the adjusted effective tax rate, along with higher equity income. On the bottom line, third quarter adjusted earnings per share were $1.51. That's a new all-time quarterly high on continuing operations basis, and up 1% year-on-year. Now, turning to cash flow and capital efficiency; cash provided by operations in the third quarter was healthy at $849 million, although down versus a very strong year ago quarter of $976 million. On adjusted return on invested capital, through nine months, we have improved this metric 350 basis points. That improvement includes benefits from the spin-off of Halyard Health. On capital allocation, third quarter dividend payments, and share repurchases totaled nearly half a billion dollars. We expect the full year total will be $2.1 billion, or about 5% of our current market capitalization. Now, let's look at the segment results. In Personal Care, organic sales rose 9%. That included 14% growth in developing and emerging markets, and a 7% increase in North America. Overall Personal Care operating margins were 20.5%, up 100 basis points. This improvement was enabled by organic sales growth, cost savings, and lower input costs. In Consumer Tissue, organic sales were up 1%, including volume growth of 6% in North America. Consumer Tissue operating margins of 17% were up 20 basis points despite unfavorable currency effects. In K-C Professional, organic sales increased 5%. Within that, developing and emerging markets grew 6%, and developed markets outside of North America grew 4%. The segment top line also benefited from sales of nonwovens to Halyard Health in conjunction with a limited term supply agreement. You can see this benefit in the mix other number for this segment. K-C Professional margins were 18.6%, off 30 basis points year-on-year. Overall, the margins in this segment remain healthy, and above the corporate average. To summarize, we had another good quarter as we achieved mid single-digit growth in organic sales, we delivered strong cost savings, gross margin improvement, and record adjusted earnings per share, and we continue to improve our balance sheet efficiency and allocate capital in shareholder-friendly ways. I will now turn the call over to Tom.
Tom Falk: Thanks, Maria, and good morning everyone. I will share my perspectives on our third quarter results, and then I will cover our full year outlook. Overall, we delivered another quarter of good financial results, and we are executing our global business plan strategies well in a challenging environment. As Maria just mentioned, organic sales growth was strong at more than 5% in the quarter. So let me spend a few minute and unpack some of our top line growth strategies for you. As you know, we are focused on pursuing targeted growth initiatives. We are launching product innovations and making high return investments in our brands. These strategies are working. Our biggest targeted growth initiative is in the developing and emerging markets. We had another excellent quarter in this part of our portfolio with 10% organic sales growth overall. Organic sales in diapers rose double digits in these markets. We continue to benefit from innovation, expansion of diaper pants, category development, and higher net selling prices in some places. In terms of some of our key growth markets, organic sales in diapers rose about 45% in Eastern Europe. That was driven by price increases in Russia and the Ukraine to offset currency declines there, along with double-digit volume growth in Russia. Organic sales in diapers increased more than 15% in China. Volume growth remained very strong, while net selling prices were down due to increased competitive activity. Huggies diapers are now sold in 115 cities in China, that's up from 105 at the end of last year. We are launching product improvements in the fourth quarter of this year to further improve our Huggies franchise in China. In Brazil, our team continues to execute well in a very challenging economic environment. Total Personal Care organic sales increased more than 10%, including 5% growth in diapers. Elsewhere in developing and emerging markets, our overall feminine care organic sales rose high-teens in the third quarter. Our momentum remains strong in Latin America, led by Brazil, and we made further progress in China. Organic sales also increased double digits in baby wipes and in adult care in the developing and emerging markets. So, overall, we delivered a strong organic sales growth quarter in developing and emerging markets, and we are optimistic about our future there. In our developed markets business outside of North America, organic sales were down slightly in the quarter. We continue to generate solid growth in South Korea, while market conditions remain relatively soft in Western and Central Europe. Moving now to North America in our consumer business, we have excellent volume growth in the quarter behind innovation, brand investment, and good execution at retail. In baby and child care, volumes were up low double digits on Huggies diapers, and high single digits on Huggies baby wipes. Our second quarter re-launch of new Snug N' Dry mainline diapers is on track, and I'm encouraged that our Huggies volumes are improving. In our adult care business, our innovation, brand investment, and category growth helped us deliver double-digit volume growth in the quarter. Pipeline shipments for Poise Impressa occurred in the last half of the quarter, and we are watching the consumer response there very closely. In consumer tissue, Kleenex facial tissue volumes rose high single digits. We had very good execution around the back-to-school season, and paper towel volumes were up double digits, led by promotional activity on Viva. Shifting to K-C Professional in North America, volumes there increased mid single digits on our higher margin, faster-growing wiper products. In washroom products, organic sales were even with last year, and that's roughly in line with the overall market and category. Since Maria has already discussed our profitability, the balance sheet and capital allocation, I will just add that I'm also very pleased with our performance in those areas. So, all in all, I'm encouraged by our results in the third quarter. Now, let's move and talk about the outlook for the full year. Our teams continue to focus on the fundamentals that create long-term shareholder value, while delivering on our near-term financial commitments. In terms of our growth targets for the year, we are raising the low end of our previous guidance ranges for both organic sales growth, and adjusted earnings per share. On the top line, we are now targeting organic sales growth of 4% to 5%. Our prior target was 3% to 5%. Through nine months, we've delivered growth of about 4.5%, and that compares favorably to many other peer CPG companies. On the bottom line, despite a worsening currency environment, we've raised the low end of our previous guidance range by $0.05 per share for the second consecutive quarter. That's largely due to our improved expectation for organic sales growth. Our updated outlook is for adjusted earnings per share this year of $5.70 to $5.80. So in summary, we delivered a very good result in the third quarter. We raised the low end of our top and bottom line growth ranges for the full year. And we remain optimistic about our prospects to generate attractive shareholder returns. That wraps up our prepared remarks, and now we will begin to take your questions.
Operator: Thank you ladies and gentlemen. We will now open the floor for questions. [Operator Instructions] The first question will come from Gail Glazerman with UBS.
Gail Glazerman: Hi, good morning.
Tom Falk: Good morning, Gail.
Maria Henry: Good morning.
Gail Glazerman: In terms of the diaper business in the U.S., has any of that promotion activity started to roll off in the fourth quarter? And if so, can you give any sense of how sales have progressed?
Tom Falk: I would say that it wasn't as much promotion-intense as getting the everyday price, and innovation fundamentals right. And so that is continuing in the fourth quarter. And we've got a good momentum in the diaper business overall, and expect to see that continue.
Gail Glazerman: All right. And I apologize if I missed it, but can you give some insights into the trends you are seeing in North America in feminine care?
Tom Falk: Our fem care business was sort of flattish on volume in the quarter. We got some more activity coming in the fourth quarter. There was a little bit more promotion activity in tampons in some of our competition in the third quarter. That probably affected our growth a bit, but we've got more action coming in the fourth quarter.
Gail Glazerman: Okay. And in terms of developing and emerging, are you still comfortable that you can compensate for currency with price, or do you think you've tapped out your ability to use price as a lever at this point?
Tom Falk: I would say -- and you saw it a little bit in this quarter, that we've had less price overall than maybe we've had in some markets. The rate of currency deterioration hasn't been as severe as it was, say, a year ago. On the other hand, there's still some opportunity for price in some markets. As we look at, particularly in Latin America, where you are seeing some pretty significant currency moves. Those have been places where we've been able to get some price to compensate with that. And then other markets around the world, it's been a little bit tougher to get price, particularly places like Western Europe or Australia, where there's been some currency softness.
Gail Glazerman: Okay. Thanks very much.
Tom Falk: Thanks, Gail.
Operator: Thank you for your question. The next question will come from Jason English. Please go ahead.
Jason English: Hi guys, thanks for the question. A couple of housekeeping items, and I apologize if I missed this in the prepared remarks. You referenced the deflationary number ex-fiber in the press release. Can you talk about what you are seeing in the fiber complex? And then also give us a little more color on what's driving the higher administrative cost?
Tom Falk: Yes, I think a couple of things. Fiber was about a push in the quarter, it normally would be in that number, but -- so you are seeing fairly minor movements up and down on different grades of fiber. Eucalyptus is a little higher, Northern softwood is a little lower. Secondary fiber has been a little lower. So there's not been a lot of movement on that front. As we look -- rolling forward we will see how that plays up, but we haven't seen much push from fiber. What was the other part of your question, Jason?
Jason English: Higher administrative costs this quarter.
Tom Falk: Oh, yes, G&A was more of a comp [ph] to last year; it was an unusually low quarter, so …
Jason English: Got it. That's helpful. And one more question just in terms of China expansion strategy. I appreciate that you continue to build out brick-and-mortar presence in more markets. Can you talk about how your strategy may be evolving with the booming eComm business, as well as opening in more free trade zones and more participants in those markets or in the free trade zones?
Tom Falk: Yes, we've been a leader in eComm in China. It's probably been at least a third of our diaper sales. And eComm grew faster than our overall business in China in the quarter. And so, we are aggressively going after that. And China, as you may know, has been a place that's been pretty competitive for a long, long time. So I think everyone in the world sees the opportunity in China, and has been investing there pretty aggressively. So we see the Japanese competitors, other U.S. competitors, some of the European competitors are there. And so, it's a competitive marketplace for sure.
Jason English: Great. Thanks a lot, guys. I'll the pass it on.
Tom Falk: Thanks, Jason.
Operator: Thank you for the question. The next question will come from Chris Ferrara with Wells Fargo. Please go ahead.
Chris Ferrara: Hi, good morning.
Tom Falk: Hi, Chris.
Maria Henry: Good morning.
Chris Ferrara: So I guess, on the U.S., are you seeing any competitive reaction to Snug N' Dry? I know to some extent Snug N' Dry is -- the re-phasing of it is a competitive reaction as well. But are you seeing anything from competitors with respect to promo? And how optimistic are you that the share gains that you're picking up are sustainable at these sharper price points?
Tom Falk: Yes, that's a good question, Chris. I'd say, it was a -- we saw increased coupon activity, which may be not be as visible to you in some of the Nielsen data. We saw pretty heavy advertising investment by key competition. And so, which I'd say is about the kind of competitive reaction we would expect in a major re-launch like that. We would be approaching it the same way if one of our competitors was re-launching, where you try to make sure you protect your franchise as much as you can. Yes, I think the share gains to this point have been fairly modest. If you look at our fourth quarter share, which is maybe our low point, year-to-date we are maybe up a point versus that level. And so, this quarter, our shipment share -- our shipment volume was a little bit ahead of our share progress as we -- we had some retailers that built inventory because we had a few out-of-stocks that they wanted to try to take care of. In the second quarter, that was sort of the reverse situation, and so we caught up a bit in the third quarter.
Chris Ferrara: Got it. Thanks. And in, I guess, China. I think you said net selling prices ran a little bit lower, and volume really didn't decelerate very much. I guess, A, is that right? And then can you characterize what type of competitive pressure -- I mean is this diaper pants and Procter generally, I guess? Any more color on that would be really helpful.
Tom Falk: Yes, in China, our total diaper volume was up 15 -- our total diaper organic was up 15, volume was north of 20. So you can do the math. Price was the balance. I would say it was, in some cases, some of our non-U.S. competitors, the Unitherms and Kaos where they've had a relatively weaker home currency, were a little bit more aggressive on price, more so than other competitors in that market.
Chris Ferrara: Okay. Thank you.
Tom Falk: Thanks, Chris.
Operator: Thank you for the question. The next question will come from Olivia Tong with Bank of America Merrill Lynch. Please go ahead.
Olivia Tong: Great, thank you. So Korea had a pretty nice quarter in personal care. But can you comment on the sustainability of that volume growth, particularly as you move into 2016, and you start to cycle some tougher comps? And then just longer term, how do you think about pricing, particularly in North America? Because it looks like the moves that you've made on price have obviously resulted in better volumes than what the track channel data would imply, but just curious how you think about the volume versus price dynamic going forward.
Tom Falk: So those are great questions. So, yes, we've got a very strong innovation pipeline coming, and really good execution in emerging markets. So we are still very bullish on that. We are still seeing the super premium segment of our categories grow in most of our major markets. Even in Brazil, where there's been a pretty severe currency hit to that economy year-on-year, and quite a bit of price inflation, you're still seeing mom want the very best product for baby. And we're seeing that in Russia. We're continuing to see that in China. There's no question that the consumer is under pressure in some of those markets from a purchasing power standpoint. So we're watching that to see if category growth decelerates; have not seen that to a great extent on the consumer side, seeing a little bit more of a reaction on the B2B side. So, our KCP business was slower in the quarter in Brazil than our consumer business was. And so, that is one that we are watching the dynamic in those markets where you've seen a lot of pressure. In the U.S., the pricing that we've done has been either surgical to get our value equation right on Huggies Snug N' Dry to make sure that we got the right price gap versus our nearest mid-tier competition. And we're seeing reasonable returns from that in terms of the volume growth. On the tissue front, where there was a little bit of price weakness in the quarter, that's been a story that's been going on for awhile. I'd say sequentially it was slightly better in terms of the competitive deep promotion price points pulled up a little bit, so we are not seeing as much of that. So again, it's more about trying to make sure we are competitive on shelf with the right offer, and bringing the right value to the consumer.
Olivia Tong: Got it. Thanks. It's really helpful. And then just following up, on fem care, you had mentioned some incremental activity coming in Q4. Do you mean incremental, like innovation, or more pricing, promotion type adjustments?
Tom Falk: I'd say some of both. We'll have some product news and then some commercial innovation. So it will be a combination of strategic marketing. We'll do some things in the advertising and digital marketing front, as well as some in-store activity, but I wouldn't view it as -- it's not going to be a straight hot price promotion to move volume. It's more strategic around product news.
Olivia Tong: Great. Thanks a bunch.
Tom Falk: Thank you.
Operator: Thank you for the question. The next question will come from Lauren Lieberman with Barclays. Please go ahead.
Lauren Lieberman: Thanks. Good morning.
Tom Falk: Good morning, Lauren.
Maria Henry: Good morning.
Lauren Lieberman: On North America, two questions. So, one is on the personal care volume growth. I know, Tom, you started to mention there was a little bit of a catch-up or truing-up on inventory levels at retail and shipments versus 2Q. But, just if you could talk about I guess the Nielsen data, which shows something close to 3% sales growth for you guys in terms of takeaway, but you reported 7%. So how much of that do you think is the Impressa pipeline till at the end of the quarter, some catch-up where they've been out-of-stocks last quarter. So that would be one bucket of question. The other would be on pricing, the sequential deceleration. How much of that was maybe sampling or couponing on Poise, any kind of new activity on other areas of incontinence or in fem care? Because it did -- got a little bit more sequentially, and I believe that all of the price adjustments on Snug N' Dry had been in there last quarter. Thanks.
Tom Falk: Yes, that's fair. I think on the volume front, if you think Poise and Impressa, it's fairly small dollars in the quarter, really just getting started. So, if you looked at our total adult care business in North America was up double digits overall on organic. If you took Poise and Impressa out, it was up high single digit. So it didn't move the needle even in adult care all that much, but we do think it's going to be a nice category for us as we start to roll it out. On the price overall, I'd say it was a -- that probably most of it was in diapers, and so, we do have a little bit of a more training pant promotion in the summer months, so you saw a little bit of that in the third quarter. We had some -- we'd launched an improved Pull-Ups product, in August. And so we put a little bit behind that to get that going. But those were the -- largely it was, most of price promotion activity was in the diaper category.
Lauren Lieberman: Okay, great. And then just, sorry Tom, just to finish up on the volume, so the Impressa piece was small, but do you think, other than I guess the true-ups versus 2Q was what we saw in terms of shipments versus takeaway, if we assume Nielsen [indiscernible] engage for takeaway. Do you think you're back to even 2Q, 3Q combined, and 4Q is sort of shipments and consumption match a little bit better?
Tom Falk: Yes. I would think that's the case. I think a lot of the inventory that went in was either to support customer service levels. We had some high out-of-stocks for the couple of customers. And so we -- as we added the inventory, we saw better in-stock, and better performance at retail. And so, hopefully that investment continues to pay off for us and our retail partners.
Lauren Lieberman: Okay, great. And then if I could just ask one more in personal care margins; margins, up 100 basis points in that business, even with the down-drop in North America pricing, and the 13% FX headwind to top line. So, can you just talk a little bit about what's really driving that? I know you loosely said cost savings, but it just seems like an enormous gap that you guys overcame.
Tom Falk: Yes, I mean I would say cost savings were good. Virtually all the deflation -- the raw material deflation hit personal care, because tissue and KCP is mostly fiber based. And fiber was basically even sequentially, and so -- or year-over-year. So they got virtually all the benefit there. We also got some price in some markets around personal care, where we had some currency devaluation. And so, that helped as well.
Lauren Lieberman: Okay. Thank you so much.
Tom Falk: Thanks, Lauren.
Operator: Thank you for the question. The next question will come from Nyet Nuin with Xbodia Capital. Please go ahead.
Nyet Nuin: Hello. Thank you for your talk. And I have a question on the outlook that you have for the Q4. You said organic sales growth contribute 3% to 4%. I wonder why you dropped the percentage of growth from this quarter to next quarter. And then the second part is about the cash flow. I see that the cash -- the free cash flow has been reducing. So I wonder what is the reason why behind that. So there are two questions I have.
Tom Falk: Sure. I think we adjusted our organic sales growth outlook for the year. So, we're at 4.5 year-to-date. And we said we'd be four to five for the year, and that's up from three to five in the previous quarter. So, we got the fourth quarter by definition, it is going to be pretty close to our trend rate for where we've been. On the free cash flow, like everything else in our financial statements, has been affected by changes in currency rates. And so as currencies weaken, it's -- our sales are smaller, our profits are under pressure from it, our balance sheet is smaller, and our cash flow is little smaller. And so, we've got lower cash earnings to start, but predominantly due to currency, and then that flows through the overall cash flow statement.
Nyet Nuin: Thank you. And just a follow-up on the currency question; so I see that a lot of companies are hurt by the stronger dollar compared to other markets. And since your company has a lot of sales in the emerging markets, do you have any other remedies or any other solutions in terms of trying to improve the situation beside endure the pain by the market?
Tom Falk: Well, essentially, we are -- our strategy is to maximize our local currency net income. And so, we make most of our products in the country that we sell them in. And so -- and part of our costs are denominated in local currency, and then a part are in dollar-based commodities, and we try to hedge that where we can. But we want to win in the local market, and gain market share in the local market by delivering products that are relevant, and meet the essentials for mom to care for her family.
Nyet Nuin: Got it. Thank you.
Tom Falk: Thank you.
Operator: Thank you for the question. The next question will come from Ali Dibadj with Bernstein. Please go ahead.
Ali Dibadj: Hi, guys. So I wanted to get some help thinking about how you feel the quality of your numbers are this quarter. Usually it's pristine, and this time, the top line is still very good, but driven by, as you mentioned, price promo, some inventory, some things that make it sound like the top line isn't quite as sustainable going forward truly, if there's more competition. Your margins were a little bit worse than anticipated. FORCE was a little bit lower, but you made it up through taxes being a little bit lower, at least, at least than we had modeled, and certainly some higher buyback. So, for a company that's usually very pristine on the quality, you're clearly dealing with these tough times. I'm trying to figure out how we should think about this as a little bit different than what we've seen over the past several quarters, I guess.
Tom Falk: Actually, Ali, I was pretty happy with the quality of it. So I -- as we looked at the 5% organic top line, is pretty solid in this environment, and have been at the high end of the range that we've been aiming at, all volume. So really not any help from price to get there were in other quarters, we've been in the four to five range with three volume and two price. So, I mean, I'm pretty happy on the top line front. In this environment, where we're not getting as much price and we still got all the transactional currency hit to cover it with cost savings and still deliver improved gross margin and improved operating margin was a pretty good performance. We held our advertising and promotion investment rate as a percent of sales in the quarter, which is a positive. The year-over-year margin and present [ph] G&A was really a low watermark for us last year, and we did indicate that that probably wasn't going to be repeated. And then other income and expense was about 30 million swing year-over-year. Last year, we had a gain from an asset sale, and this year we had currency transaction losses. And so, when you net all that down, you would say pretty good performance to have margin improvement in both gross and operating margin. And then below the line, taxes were benefit. Mexico had a good quarter though, and Mexico was a nice uptick for us which while it doesn't show up in all the operating line is still a very solid performance. So all in all, I would say we feel pretty good about the quality.
Ali Dibadj: Okay. So many levers to pull, and in a tough environment you can pull on them differentially to get to, again, good numbers throughout. If you could comment on FORCE, it sounds like that's just this quarter a little bit lower than it's been in the past, but feels like that's just kind of ramping up and may be a transition to new plan, and then another comment if you could share …
Tom Falk: Yes, on FORCE, I mean we delivered 85 million, and we are at 285 for the year-to-date. So, we are on track with a 350-ish kind of number, which is –- so 85 is pretty close to the run rate you would expect. And so, again, I would say good solid work on negotiating material savings, and specifications, and productivity, all delivered a solid result. And we do think there is more to come as we continue to build our global supply chain capability.
Ali Dibadj: Okay. And I just want to pick your brain because you guys are usually very open and have a lot of insight on kind of the market broadly. I want to know what you thought about this whole Walmart Wednesdays as we're calling it in terms of their panic and basically saying our margins will never be this high, and trying to react to what they believe is a normal trend in the consumer. How do you think CPG companies will interpret that or feel any repercussions of it? Not short term, but longer term.
Tom Falk: There is certainly lot of change going on at Walmart and we see them investing in the store experience. And if you have been in the Walmart a year ago and were in one today, I think you would see a difference, and we are saying our business with them is continuing to perform well. We are also investing in eCommerce. So I think they are doing a lot of right things, and our job is to make sure we are winning with all of our customers wherever mom wants to shop and that we've got the right product and right offer on shelf. And so, we are continuing to do everything we can with them and our other customers to make sure we got the right things happening in the retail space.
Ali Dibadj: Okay. Thanks very much.
Tom Falk: Thank, Ali.
Operator: Thank you for the question. The next question will come from Javier Escalante with Consumer Edge Research. Please go ahead.
Tom Falk: Good morning, Javier.
Operator: Mr. Escalante, please make sure your phone is put on mute.
Javier Escalante: I am sorry. Good morning everyone. It was in mute. I would like to have some clarifications on the emerging market piece. If you can remind us, what percentage of your sales are in Eastern Europe, which is growing at 45%? And how sustainable is that? Is it that -- I can see that the double-digit volume growth in Russia suggests like there is no price elasticity and that you have a ton of pricing power in Russia. So could you help us understand what's happening in Eastern Europe that is growing 45%? Is it that you are gaining share to competitors? Is it that the category is on fire? So that would be my first questions. And then I have a couple of follow-ups on Brazil and China. Thank you.
Tom Falk: Yes. I mean Russia and Eastern Europe is about couple of percent of our overall company sales. So it's relatively small market for us. And when you've seen what the Ruble has done over the last year, you've seen lots of price inflation in that market. It is not unlike some of the Latin American markets, where you had a significant inflationary impact, and where you got a lot of imported materials in your product, you wind up having to take price just to keep your margins reasonably whole. And we are seeing good response to diaper pants in that market, and so it's not just a straight price increase, we've also brought innovation, and we are trying to watch and make sure we've got the right price pack architecture to hit the purchasing power that mom has got during her monthly purchase cycle.
Javier Escalante: And on China now, the 5% price decline, does it have to do with increased competition from Procter as they launch this premium baby line, or is it more like price mix as you go into lower tiers, or what exactly is driving this 5% down? Should you expect this to continue, that there's going to be some price erosion? Because I have a little bit of problem understanding the trade-up dynamic that you describe with the price decline that you are also citing.
Tom Falk: Yes, in China, more of the price pressure has come from our non-U.S. competitors, particularly a couple of Japanese competitors that are in that market. They've had a relatively weaker home currency, and have invested some of that as they lost some share in China, as we've been gaining share. So we are trying to make sure we keep our volume momentum going, and that we match up with the right price points.
Javier Escalante: And finally, coming back to Brazil, you basically mentioned the personal care piece that is up 10%, which is very good. The diaper growth in China, the 5%, is all pricing. Did volumes decline as other companies are mentioning that is happening in Brazil? Do you have positive volumes in Brazil in diapers or did they decline?
Tom Falk: Our volumes in Brazil were pretty flat in the quarter. So, all of the improvement was price mix, and we did take share leadership on diapers in the quarter in Brazil, but that was really more of our other competitors shrinking a bit, and we've also got fem care -- our leadership in fem care in Brazil as we have driven some innovation on both tampons and pads in that market. So, we continue to see even in a challenging market, when you bring innovation and product news, and bring products that mom wants, consumers are still willing to invest in your category.
Javier Escalante: I guess what I'm trying kind of to finalize with picking up these three BRIC countries has to do with the state of emerging markets because, back in the summer, the markets sold off thinking that emerging markets after what is happening in China would decelerate further. You haven't seen at the end of the day any change on the consumer side or something -- it's certainly not reflected in your numbers, so it doesn't seem that you are gaining significant amount of share. So, do you think that -- have you seen any step down, say, in consumer demand in any of these key emerging markets, you didn't see it versus earlier this year, prior to the sell-off of China equities and the world, China going bankrupt? Thank you.
Tom Falk: I think, Javier, we're seeing some very modest slowdown in category growth, but less than you would think and less than you've seen in some other B2B categories. And so, GDP per capita is still going up in most of these markets, not the one, not the economies that are in recession obviously, but China for sure, and lot of the Asian economies. And so, consumers still have more money to invest in our categories. We are also still seeing super premium segments growing in a lot of these markets. So, even in Brazil, where the upper tiers of the diaper categories are growing at a faster pace, and they haven't slowdown appreciably.
Javier Escalante: That is very insightful. Thank you very much.
Tom Falk: Thank you, Javier.
Operator: Thank you for the question. The next question will come from Iain Simpson with Societe Generale. Please go ahead.
Iain Simpson: Thank you very much. I missed the start of the call, so apologies if these have already been asked. But firstly, you quantified the translational currency impact on profit. Are you able to give any sort of steer as to how we should think about the transactional impact? That would be extremely helpful. Thank you.
Tom Falk: Yes. If you look at -- in the quarter, our translational was about 12 points on the top line. Translation and transaction combined was approaching a north of 30 points. If you look at it on a year-to-date basis -- Paul, is it 25 points, something like that?
Paul Alexander: Yes. It's about 10 points on the top line for translation, and the all-in impact on earnings is approaching is 25%. So, 2 to 2.5 multiple of translation impact is a good rule of thumb.
Iain Simpson: Extremely helpful, thank you. And just secondly, if I may, you talked about eCommerce being about a third of your China diaper business. Are you able to give any indication as to how that's I guess trended over the past sort of medium-term? What that number would've been a couple of years ago or five years ago, or just anything to give us a sense as to kind of where that's come from and perhaps where it's going? Thank you.
Tom Falk: Yes, I think five years ago, eComm in China for us was probably near zero. Or if it was there, we weren't tracking it. And so, we have put more resources against this and have grown that part of the business. And eComm in China is growing at a faster rate than our overall business. So, we continue to see good returns there. And ultimately, we are trying to be present with the right offer wherever mom wants to shop. And so, we are not necessarily trying to shape the category in a particular direction. We just want to be there whatever outlet or form she wants to buy her products.
Iain Simpson: Thank you very much.
Tom Falk: Thanks, Iain.
Operator: Thank you. The next question will come from Bill Schmitz with Deutsche Bank. Please go ahead.
Bill Schmitz: Hi, Tom. Good morning.
Tom Falk: Hi, Bill.
Bill Schmitz: Are you concerned at all about some of the trade down in a lot of the emerging markets, and like will you sort of adjust to that by maybe trying to launch some stuff at lower end, specifically in Brazil and China?
Tom Falk: We were just talking about that on one of the other questions, and so far we are not seeing as much as a trade down as you would think. And we are still seeing -- we launched boy/girl diaper pants in some of the super premium kind of tiers. We are seeing good response and growth there. So we are watching it. And obviously, particularly the economies that are in recession like Brazil and Russia, we are watching that see how the consumer performs and make sure we got the right offer, but we are also seeing really good innovation. Mom still wants the best for her baby. These are not expensive products relative to other things and she is still willing to buy those little luxuries for her family.
Bill Schmitz: Okay. I mean just because if you look in China and in Brazil, it's like Hypermarcas has taken a bunch of share, and I know they're for sale. We talked about that last time, but even like Jiangnan, it seems like they're making a pretty big comeback in some of the Nielsen data. Obviously, your share is growing as well. It seems like some of mid-tier players are the ones that are getting hit.
Tom Falk: Yes. In eComm and super premium baby stores in China is stuff that isn't tracked as well, and that's where the lot of the growth in the category is.
Bill Schmitz: Okay. That's helpful. And then, I know you don't want to give guidance for next year, , but when do you think you're going to get sort of the peak benefit from falling commodities sort of net of the currency becoming less onerous? And I know you sort touched on it a little bit, but has there been any sort of pushback by retailers on some of the pricing stuff, especially on the diaper side, because obviously polypropylene prices are way down? 
Tom Falk: We will give you guidance in January, and at this point, it's still pretty volatile environment. You look at exchange rates at the end of September and then today and they have moved quite a bit in both directions, depending on where you are at. Commodity costs have been a little bit more stable, but if you still look at lot of the forecast for oil at a $20 barrel higher next year than it is right now. And so, we are still wrestling through that and we'll have a point of view for you in January when we are little closer to the year actually getting underway. At this point, we still believe our model is right continuing to look to 3% to 5% organic and delivering a positive result in margin improvement in that kind of an environment.
Bill Schmitz: Okay. And the retail discussions, are they getting any more aggressive because obviously they see what's happened at least with some of the spot prices in some of your categories on the commodity side?
Tom Falk: I would say not in the U.S., and I think and in emerging markets, the currency impact dwarfs any commodity cost benefit in most markets.
Bill Schmitz: Okay. All right, that's very helpful. Thank you very much.
Tom Falk: Thanks, Bill.
Operator: Thank you. The next question will come from Caroline Levy with CLSA. Please go ahead.
Tom Falk: Hi, Caroline.
Caroline Levy: Hi. Good morning. Hi. I'm wondering if you can talk a little bit about adult care in the U.S., and just how P&G's entry has impacted you. I think Impressa is a different issue I guess. It only just launched, but in general sort of the non-diaper personal-care business, specifically looking at adult as well.
Tom Falk: Yes. Since Procter has launched, the category has grown a little faster, and so we've seen -- we went from mid to high single-digit growth to double-digit growth and seen that happened pretty consistently. We had double-digit growth in the quarter, including the benefits of Impressa, which were relatively modest, but still helped us. We have launched a lot of innovation in the last year to make sure that our consumers have the very best products we could offer available. And so, as a result, I think we probably say we successful defended, we have lost less than our fair share as Procter has come in and have delivered solid growth. I'm sure when P&G talks about this later this week they will talk about a successful launch and they will probably hit their share goals. So, private label and some of the other brands have taken a disproportionate hit from the P&G entry. And so, in the meantime we are just keeping our foot on the gas to make sure we've got a great innovation coming in that space, employees in Impressa is just another good example of that.
Caroline Levy: That's great. Thank you. I know you talked about Mexico getting better again. I also missed part of the call because Coke was going on at the same time. But it seems like Brazil is deteriorating as an economy. What is going on in Mexico that you see, good and bad, over the next 12 months from where you stand?
Tom Falk: Yes, Mexico is -- I am cautiously optimistic there, and Pablo and the team will be on a call later this week, and can give you more color, but that seems executing well, and they are getting some price to cover some of the currency impact that they've hit, seen good volume growth, and good cost savings, and good margin performance. So we are encouraged by what we are seeing there. The economic growth and the economy has been a little slower than they would have hoped at the beginning of the year, but we also see some optimism that that's going to improve going forward a bit, particularly as the U.S. economy improves a bit.
Caroline Levy: Thank you. And then just China, briefly, I think you started to talk a bit about fem care, which was not really in the conversation before. Can you talk about that in more detail?
Tom Falk: Yes. We are still a very small player in fem care in China. We re-launched probably a little over a year, probably a year and a half ago, now, Paul; and saw double-digit growth in the quarter. And we are seeing some share improvements. We are not in as many cities with fem care yet as we are with our diaper business, but we are growing nicely and have good innovation there, and it's around the U by Kotex type positioning with -- aimed at the late-teen, early 20 young women as she is making some brand choices for a wife and making sure we got a relevant interesting product with a good commercial execution for her.
Caroline Levy: Thanks so much.
Tom Falk: Thanks, Caroline.
Operator: We have no further questions at this time. I will turn the conference back over to you.
Paul Alexander: All right. We thank everyone for your questions today, and we will end with a comment from Tom.
Tom Falk: Well, it's another good quarter of great execution from our team, and we are committed to continue forward and deliver on your expectations as our shareholders, and we thank you all for your support at Kimberly-Clark.
Paul Alexander: Thank you.